Operator: Good morning and welcome to the ADM Second Quarter 2021 Earnings Conference Call. All lines have been placed on a listen-only mode to prevent background noise. As a reminder, this conference call is being recorded. I would now like to introduce your host for today's call Vikram Luthar, Senior Vice President, Head of Investor Relations, Chief Financial Officer, Nutrition for ADM. Mr. Luthar, you may begin.
Vikram Luthar: Thank you, Shelby. Good morning and welcome to ADM's second quarter earnings webcast. Starting tomorrow, a replay of today's webcast will be available at adm.com. For those following the presentation, please turn to slide two, the company's Safe Harbor Statement, which says that some of our comments and materials constitute forward-looking statements that reflect management's current views and estimates of future economic circumstances, industry conditions, company performance and financial results. These statements and materials are based on many assumptions and factors that are subject to risks and uncertainties. ADM has provided additional information in its reports on file with the SEC concerning assumptions and factors that could cause actual results to differ materially from those in this presentation, and you should carefully review the assumptions and factors in our SEC reports. To the extent permitted under applicable law, ADM assumes no obligation to update any forward-looking statements as a result of new information or future events. On today's webcast, our Chairman and Chief Executive Officer, Juan Luciano, will provide an overview of the quarter and highlight some of our accomplishments. Our Chief Financial Officer, Ray Young, will review the drivers of our performance, as well as corporate results and financial highlights. Then Juan will make some final comments, after which they will take your questions. Please turn to slide three. I will now turn the call over to Juan.
Juan Luciano: Thank you, Vikram. I'm pleased to share with you results that continue to demonstrate our success in delivering strong and sustained earnings growth. This morning, we reported record second quarter adjusted earnings per share of $1.33. Adjusted segment operating profit was $1.2 billion, up 44% versus the second quarter of 2020. Our trailing fourth quarter adjusted EBITDA was about $4.5 billion, almost $900 million more than a year ago. And I'm proud to report that our trailing fourth quarter average adjusted ROIC was 9.7%, which is both significantly higher than the 8.1% of the prior year period and also represents the achievement of our 10% objective. I'm proud of the entire ADM team for their great results this quarter. We're living up to our promises and our purpose. And the continuing execution of our strategy is delivering impressive ongoing growth for our company, our customers and our shareholders. I'd like to take a moment to highlight some of our accomplishments from the quarter. Slide four, please. Over the last decade, we made cultural, technology and process changes that help us revolutionize how we do our work every day.
Ray Young: Yes. Thanks Juan and good morning everyone. Move to slide nine please. The Ag Services and Oilseeds team followed up on their exceptional first quarter with another outstanding quarter. Ag Services results were higher year-over-year. The North American origination business delivered an outstanding second quarter, managing its positions effectively in a dynamic pricing environment and also achieved significantly higher export volumes, driven by corn sales to China. South American origination was significantly lower than the previous year's quarter driven by slower farmer selling and high commodity prices, which impacted contract fulfillment. Global trade performance was lower than the second -- strong second quarter of 2020 when customers were building inventories in mid-COVID-19. Results were also impacted by timing impacts that should reverse. Crushing had substantially higher year-over-year results. The business executed well in an environment of strong vegetable oil demand to deliver higher execution margins in North America soy and EU softseeds. Results were partially offset by weaker soybean crush margins in South America, driven by lower demand for biodiesel. In addition there were about $70 million in net incremental negative timing effects which should reverse in the coming quarters. Refined products and other results were significantly higher than the prior year period, driven by continued recovery in foodservice as well as positive timing effects in North America, partially offset by the effects of the reduction in the Brazilian biodiesel mandates. Equity earnings from Wilmar were higher year-over-year. Now, looking ahead, we expect Q3 performance for Ag Services and Oilseeds to be higher than the third quarter of 2020, driven by stronger results in crushing. We continue to anticipate full year results that will be significantly higher than 2020's very strong performance. Slide 10 please. The Carbohydrate Solutions team did a great job delivering results that were almost double those of the prior year period. Starches and Sweeteners, including ethanol production from our wet mills, delivered substantially higher year-over-year results in a highly dynamic pricing environment, driven by about $90 million in positioning gains across the ethanol complex, as well as more normalized results from corn oil. Sweetener volumes were higher reflecting the beginnings of a recovery in demand from the foodservice channel. Ethanol margins improved versus the prior year period driven by a resurgence in driving miles in the United States.
Juan Luciano: Thank you, Ray. Slide 13 please. When I look back on our outstanding first half results following a record 2020, I see a team that is executing at a high level and a strategy that is delivering according to our plan. We have been constantly refreshing our portfolio, divesting from non-strategic businesses and redeploying capital consistent with our strategy. In doing so, we've built industry-leading capabilities to meet customer and consumer needs in high-growth categories such as meat alternatives, a category we expect to reach more than $100 billion in sales worldwide by 2030 and in which our PlantPlus Foods joint venture, now is participating, selling consumer products across Brazil and ready in its North American launch. Another example is dietary supplements, a segment on track to have $80 billion in sales globally by 2025; and in which we're constantly expanding our product portfolio including our recently introduced Bio-Kult Brighten, which includes ingredients to reduce tiredness and fatigue. And then there is pet food, which is forecast to grow to more than $130 billion globally by 2025 and an area in which we launched our new premium cat food in Mexico, earlier this year. The list goes on. Renewable green diesel, pharmaceuticals and personal care, beverages all large high-growth opportunities powered by macro consumer trends like sustainability and health and wellbeing. And in each of those segments and more, our unparalleled global footprint, fully integrated value chain, customer insight, broad portfolio and speed to market are setting us ahead of the competition and fueling our growth. That's why, we are so optimistic about our path forward. Of course, there are always going to be short-term factors for us to navigate. But those are not things that will impact our long-term success. Our confidence is rooted in the transformation we began a decade ago and which continues with our work in productivity and innovation, as well as our expanding participation in large and fast-growing market opportunities. So to conclude, we have a great start of the year and we expect to continue our momentum, in the second half to deliver very strong 2021 earnings. As we've discussed, we are moving to a new phase of our strategic growth plan. With what we have accomplished over the years on capital discipline targeted cost reductions and cash generation and moving through our portfolio transformation and our efforts to optimize business performance, drive efficiencies and expand strategically. I believe, we have successfully increased our base earnings power from $3 a share back in 2015 to a range of $4 to $4.50 this year. And now, as we enter the next stage of our growth leveraging the key macro trends of food security health and well-being and sustainability with our continued focus on productivity and innovation and with future targeted investments, we believe our medium-term ,annual earnings trend growth rate will be in the high single-digit percentages from these $4 to $4.50 per share baseline. With that operator please open the line for questions. 
Operator:  Your first question is from Adam Samuelson of Goldman Sachs. 
Adam Samuelson : Yes. Thank you, and good morning, everyone. 
Juan Luciano: Good morning, Adam.
Ray Young: Good morning.
Adam Samuelson : I want -- maybe just something you just mentioned in the prepared remarks the $4 to $4.50 baseline of EPS this year and the high single-digit growth thereafter just to be clear is that -- should we take that as a reasonably formal EPS range for 2021 just given the performance year-to-date? I just want to clarify just, how we're framing that. 
Juan Luciano: Yes, Adam. Listen, when we were -- when we put together the previous phase of the strategy, we were looking at growing as I said before from $3 to land in the $4 to $4.50 area and achieve 10% ROIC. As we started to see those goals in sight, we started on the development of the new phase of the strategy. So we took that base of $4 to $4.50 and we created a five-year plan. When we put together that plan, with all these opportunities that I highlighted and focused on productivity and innovation, that plan shows that from that base of $4 to $4.50 will grow over the next five years at the rate of high single-digit growth per year. So that's what we said in the -- at the outlook. Hello? Are we still on the line?
Adam Samuelson: I'm sorry. And then, just a market macro question, if I may. Just, we've seen some volatility in oilseed crush margins around the world of late. It seems like, especially, in China, the soy meal demand has waned a little bit, with the wheat substitution and it seems like the global industry is really crushing for veg oil, given all the RD demand around the world. Can you just help us think about kind of how that rolls forward, as we think, especially with -- for you more heavily weighted towards soybeans and some pressure in terms of softseed crop availability on the oil side, as we go through the balance of the year and into 2022?
Juan Luciano: Yes. Thank you, Adam. So, listen, we are very optimistic about the prospects for crush for the rest of the year and into next year. And if I go by geography, as I always do, from a North American perspective, margin remains exceptionally strong in North America in the $45 to $50 range. As you said, with a strong vegetable oil demand, in part driven by RGD, but we had already a very good oil demand and we see more recovery of our foodservices and more reopening of the economy. And that continues to enhance, of course, the oil share of the crush contribution. And also, the tightening supplies and logistical issues in South America are allowing also U.S. soybean meal to be a little bit more competitive in global markets. We see some compression in European soy margins, maybe to $10 to $20, as prices basically from South America oil imports are pressuring crush margins, especially this is the time of the year in which Argentina and Brazil are the most competitive. They are in the middle of the harvest. And of course they have reduced their biodiesel mandate, so there is more oil exportable, if you will. Although, the beauty of our long supply chain is that, as crush margins have softened in Europe, we got the benefit in biodiesel and the RPV given that. Brazil margins continue to remain solid for domestic plants, with maybe $25 to $35, despite the B10 biodiesel situation. And they are expected to remain solid as they move to higher B12 blend rates in the future starting I think in September. China margins are low due to high bean prices and lower soybean in demand. The herd is going through a rebalance there. And at the moment, there is a lot of wheat feed being fed. And -- but we're going to go through the harvest of wheat. And I think that's something that we see with optimism going forward is that, if you look at all the substitutes that we were facing last year whether it was sorghum or canola or sun or wheat, they have increased their inclusion in the Russians. And now all those things are having either weather issues or which is going to go through the harvest. So we see now the ability of soybean meal and corn inclusions to go up and that's positive as we go forward. As you mentioned on our watch list is canola margins. They have weakened. They were very strong in the first -- during the first half and -- but they have weakened on concern of a short drop, driven by the dryness in Canada. And canola margins are probably going to remain volatile until there is more certainty around the Canadian crop side. So two factors that we feel good about here is how valuable our switch capacity is, in this dynamic environment margins have shifted. And also how important it is our integration our long value chain. If you think North America today is capturing it in crush and maybe less so in biodiesel in Europe, we don't capture that much in crush, but we capture it in biodiesel. So, all this ability of our footprint to allow us to follow the margin, as it moves through the value chain has been very, very beneficial in these very volatile times.
Adam Samuelson: That's incredibly helpful color. Thanks so much. I'll pass it on.
Juan Luciano: Adam, maybe on the first question that you mentioned, again, the $4 to $4.50, as I said before, just to clarify, is our baseline in which we ran the exercise, because that was the landing spot of our previous strategy. And it's not a forecast or guidance for this year.
Adam Samuelson: Got it, that's helpful. Thank you.
Operator: Your next question is from Ben Theurer of Barclays.
Juan Luciano: Good morning, Ben.
Ray Young: Hi Ben. Ben, are you on the line?
Operator: We'll go to the next questioner. Your next question is from Luke Washer of Bank of America.
Luke Washer: Hi. Good morning.
Juan Luciano: Good morning, Luke.
Ray Young: Good morning, Luke.
Luke Washer: So, I wanted to ask you a few quick questions on your carbon capture projects. I think they're really interesting. Are you getting any 45Q tax credits, for the implementation of that technology? And now that it appears that it's commercially viable, do you intend to start the permitting process or working with other partners to build out and start capturing carbon at some of the other plants?
Juan Luciano: Yes. So the answer is, yes, to both. So we have a big permit for Decatur that we plan to of course leverage. And then, yes, we are exploring our ability to do so for other plants. We've been doing this relatively quietly, Luke since 2017. And as I said before, we have stored more than 3.5 million tons, safely underground. And this gives us the ability to start differentiating our products that we can assign some of the credits to some of these products and have those products be deemed low-carbon intensity product. So we have again, a big experience. We've been doing this for four years, in two different facilities. And we feel very good about the future. And this is going to be a growing part of our operations, for sure.
Luke Washer: And maybe just a quick follow-up on that, it -- this does lower the carbon score -- the carbon -- the CI scores of your plants, right?
Juan Luciano: That's correct.
Luke Washer: Okay.
Juan Luciano: Yeah.
Luke Washer: Okay, great. And then, maybe just a more short-term question on Carb Solutions, it looks like you really did well this quarter, particularly relative to expectations earlier this year. So can you talk through the -- I guess, the delta in your expectations and how things progress through the quarter? And maybe talk through the $90 million in positioning gains that you had? And then, you also talked about normalized results for corn oil. Corn oil prices are really high right now. So are you saying that that is a bit of a new normal, because of renewable diesel? Any other color there would be great.
Juan Luciano: Yeah. Let me tell you why -- what -- one better if you will, as per your question. I think that this was the quarter that we needed to restart the ethanol dry mills that we have taken down, due to lack of demand. And we have from a technical perspective the perfect start-up. And certainly, they hit the ground with better margins than maybe we anticipated before bringing them up. Second, as we explained before, we have very good risk management that the team positioned very well on corn and on the ethanol complex. And certainly sweeteners volumes came back versus last year, as customers were preparing for the summer. And to a certain degree you might have to take both Q2 and Q3 together from a sweetener perspective, because I think that a lot of customers bought in anticipation of refilling their pipeline given the summer and the openness with COVID that we will go into experience in the U.S. So it was a strong volume month as well.
Ray Young: It's going to -- on your question on corn oil, we've seen convergence of corn oil with soybean oil again. Recall last year, we saw a divergence because of the snack foods people staying at home high demand for corn oil, which is used for frying that caused corn oil prices to move up dramatically and it diverged from soybean oil and that's what's caused a lot of the mark-to-market issues that we had last year. We've worked through all those issues over the course of the period. We're actually seeing right now corn oil and soybean oil really converging. And so we're turning back to, let's say, the normal relationship that we've seen in the past.
Luke Washer: Great. Thank you both.
Operator: Your next question is from Ken Zaslow of Bank of Montreal.
Ken Zaslow: Hi. Good morning, guys.
Ray Young: Hi, Ken.
Juan Luciano: Hi, Ken. Good morning.
Ken Zaslow: You keep on tempting us with this productivity and innovation. Can you put some color in terms of quantification on how much this is going to create in not just 2021, but beyond that and how do you frame those two opportunities? 
Juan Luciano: Yes. Ken, I would say, if you look at our past what we have been doing over the last five years probably -- and if you think about translating everything we've done in productivity and innovation we were probably two-third in productivity and one-third in innovation if you will of all the savings we were getting. As we look at as I said before at our plan going forward, the contribution between productivity and innovation is equal. It's about 50-50. And it's mainly driven by all these opportunities that I mentioned not only nutrition, but all the other things that we're seeing whether it's biomaterials or renewable green diesel and all the other things that we've done. Again, when we look at our plan, when we start from this again theoretical $4 to $4.50 range and we apply all these projects that are included in productivity and innovation we see our program over the next five years growing in the high single-digit percentage every year in operating profit. So we feel very good about that. We will be having Ken in Q4 an Investor Day where we will be disclosing much more details and much more granularity about all these. But you can see some of the things that we're doing already whether we are invested in Spiritwood or the acquisition of Sojaprotein or the expansions of our plant in Valencia with Biopolis and microbiome. So all these areas are receiving organic growth dollars. This will be -- as we go forward Ken and you look at this plan this is more an investment plan than maybe the previous period was. So you will see a little bit more CapEx and a little bit more investment given the size of the opportunities. When I was mentioning some of the sizes of these addressable markets we have if you added some of the things I was saying these are markets north of $300 billion in which we have positioned ourselves very, very well and we think that we're going to capture a nice share of those. So the opportunity ahead of us is significant. 
Ken Zaslow: Let me just follow on. When you're thinking about the high single-digit growth rate to what extent do you think that is associated with the improvement in -- or the structural improvement in RD over the next couple of years? And how much of that is internally creative?
Juan Luciano: Yes. Let me say, when I look at the three businesses and we move them forward through the five years we see Ag Services and Oilseeds growth moderately, but it grows. We see Carb Solutions being flat to slightly declining in our forecasting. And then we see a strong growth in Nutrition. That's kind of the -- if you will the algorithm of how the business has moved. The Ag Services and Oilseeds part -- part of that has been our own improvement, part of that has been the industry. There has been some consolidations and the industry margins are strong. And there has been a strong demand and we trust that there's going to continue to be a strong demand. There are 400 million people in the middle class in China that are consuming very much like US type of consumer. And that's driving health and wellness, that's driving improving diets. And then there is sustainability that is driving a lot of the things that we're doing, not only RGD, because remember that before RGD, we were already having a very tight oil market based on food, on food oil. So, I think part is our structural issues and part is our own improvements that we have done over these years.
Ken Zaslow: Thank you very much.
Juan Luciano: You’re welcome.
Operator: Your next question is from Michael Piken of Cleveland Research.
Michael Piken: Yes. Good morning. Maybe we can dive a little bit deeper into Nutrition, and it seems like that's a good chunk of where the increase came from. But maybe this 20% growth rate, should we expect for 2022 to expect 15% year-on-year growth from -- on top of this 20% level? And then also, what categories are you seeing the most growth in besides plant protein? Thanks.
Juan Luciano: Yes. Michael, listen, when we look forward on Nutrition. Nutrition is going to grow somewhere in that range, between 15% and 20%. So, we said, 15% this year and half into the year we have moved into 20%. So, something in that range. The business is going very strong. We've been able to grow that revenue during this quarter and we've been able to maintain margins, which it has been a very good job of controlling gross margins and EBITDA margin on sales. Our enthusiasm is not only for the categories in which we are positioned, but also on the win rates and the customer engagement. Our customer engagement as of -- in 2021 have doubled our customer engagement last year. And as the economy is reopening and foodservice become more active, customers are more willing to launch new promotions and new products, something that they were not doing before. So, we see that acceleration, whether it's in beverages or in health and wellness or alternative proteins. So again, I think you should think conservatively 15% per year; more aggressively 20% per year. But in that range, we will be growing over the next few years.
Michael Piken: Great. And then, a follow-up question just shifting gears. Could you talk about the impact of the recent kind of Supreme Court ruling? And there's been some talks about possible changes to the renewable fuel standard. Maybe your thoughts on the growth potential or lack thereof for the US ethanol market moving forward in light of some of these policy uncertainties? Thanks.
Ray Young: Yes, Mike. Yes, there's been a lot of news regarding the recent Supreme Court ruling and some of the comments from the EPA. When you kind of cut through all the headlines, and try to understand like what's fundamentally happening, we still believe the Biden administration and the EPA is committed to fighting climate change and also decarbonizing the economy. And biofuels, frankly, is in a very important part of that agenda. So, the Biden administration has made it very clear that they don't intend to grant SREs or these small refinery exemptions like in the prior administrations. And as President Biden himself has said, he said that we should be insisting not exempting. So, we do expect the Biden EPA to take a very balanced approach towards granting future SREs. So, when you look at supply-demand balances going forward and you take a look at the RINs balances and you think about the recovery of driving miles as we move through the pandemic, our expectation is looking at supply/demand for ethanol -- for gasoline and then which translates to ethanol, we believe that it is going to result in a reasonably constructive ethanol environment for the industry over the medium-term. Now, at the same time, Mike it is important to note that in the case of our -- we've made a strategic decision to monetize our dry mills. And so, we kind of halted that process during the pandemic frankly, because ethanol demand was very weak. But during that period, we did look at alternatives. We took advantage to, frankly, explore other options. And there's -- frankly, as Juan talked about on the issue of sustainability, there's growing interest in sustainable materials and sustainable solutions. And it appears that there may be some opportunities for us to explore non-vehicle uses of ethanol and leveraging ethanol as a sustainable feedstock for other products. And so one of the promising areas is the Sustainable Aviation Fuel, SAF. With the airline industry moving towards effectively a low-carbon or a net-zero future, SAF appears to be an important component of how they will get there. And just for perspective, the US airline industry before the pandemic consumed 30 billion gallons of aviation fuel a year. So we are looking at the possibility of leveraging our Decatur carbon sequestration site, which Juan talked about, with our corn processing output as a feedstock for SAF to get towards a low-carbon SAF product. So in addition to looking at potential monetization of dry mills, we are looking at the SAF concept, which frankly may give us another option for finding another use of the dry mills and then taking those ethanol gallons off the vehicle market.
Operator: Our next question is from Tom Simonitsch of JPMorgan.
Juan Luciano: Good morning, Tom.
Tom Simonitsch: Good morning, everyone. Hi. So following up on the Sojaprotein acquisition yesterday, can you provide some more color around how your strategy for alternative proteins varies by region?
Juan Luciano: Yes. I think that the strategy in specialty proteins is stay close to our customers and match up with capabilities and supply this market that is growing very fast. The market is growing north of 10% per year. So – and it's moving fast in terms of the products. The products are continued to be improved every quarter. So we have a strong position in North America, our heritage position in soy derivatives. Then we build our position in South America, which is very strong. I remind you that that was $0.25 billion investment so significant. Then we build pea protein capacity in North Dakota. And now we're expanding that capacity to Europe. We have a small capacity in Europe. Now with this, we have bought – we have acquired the largest producer in Europe, which again has a great footprint of – in the middle of the non-GMO soybean harvest area but also it has a very nice set of products and they sell to 65 different countries in many, many applications. So we continue to build the capabilities. This will not be the last one that you're going to hear in terms of announcements for specialty protein. Again, this is – these are early days but it's a fast-growing market in which we have a leadership position and we pretend to – we intend to expand.
Tom Simonitsch: That's helpful. And a question on China. The USDA cut its China soybean import forecast this month. What are you assuming for that trade in the near to medium term? And how would it impact your crushing footprint?
Juan Luciano: Yes. Listen, I think that we are maybe more optimistic about China medium-term than maybe with the news are giving right now. China has done an exceptional job of controlling COVID. And as such, they have recovered from that very successfully. So there is a lot of economic activity and hence demand. They have done a terrific job in coming back from the ASF pandemic. They have recovered. So they have the consumer and they have the animals to actually consume. Of course, they are very strategic in their purchases. And right now, it's not the time to be buying a lot of beans because beans are expensive and there is a crop in the US coming. And we think that that's where – when they're going to come. You also have to remember a couple of things, Tom. Over the last two or three weeks, we lost 15 million tons of production around the world due to weather issues. Whether it was the drought in Canada with – that impacted canola and wheat, whether it was Russia, whether it was the impact was on sand and in wheat and whether it was the corn crop in Brazil because of drought, all these products are competitive products in the Russian to soybean meal. So those products will not be available to compete with soybean meal which will give soybean meal a higher inclusion in the ration. And in our estimate given the small canola crop in Canada, we think that China will have to probably import 2 million tons of extra soybean -- soybeans to offset that canola gap that they have right now. So all in all we feel that we're still going to have strong exports -- export volumes in the Q4 of this year from North America. 
Tom Simonitsch: Thanks very much. I will pass it on.
Operator: Your next question is from Robert Moskow of Credit Suisse. 
Robert Moskow: Good morning. I had a question about the new earnings base that you're putting out there. Historically external factors can change quickly and can have a big impact on your earnings. And I want to know, what do we have to believe about the external environment to feel comfort that the earnings base is credible that it can -- that you can achieve -- that the earnings base is achievable under a variety of different external environments. 
Juan Luciano: Yes. Rob, the way we thought about it when we put together the plan is and I think I expressed some of that before is of course we look at the things that we can see into the future. You can argue the magnitude but we give our forecast forward and we add inflation to that. And we say some of these things may come back to the middle if you will or reverse to the means or whatever you want to call it. So, let's put the negative side there. So, we consider some of that. And then we look at our productivity and innovation and we said, can we build a robust enough agenda in productivity and innovation that actually can offset some of those headwinds whether they are headwinds on ethanol or whether they are whatever your favorite crush margin into the future or whether it's inflation? And we look at that and the result of that exercise is that productivity and innovation earnings stream coming forward offset all that potential decline that we have estimated and offset it and giving us a result that high single-digit growth rate in profits over the next five years. So that's the way we think about it. So this is not a scenario in which everything goes perfect and margins are at peak level for five years. In our scenario margins normalize we have inflation and then we are able to offset a lot of that through growth and through productivity. That's what we are saying in terms of our new base. 
Robert Moskow: Right. And in terms of things that are going to normalize carbohydrates would be the first -- the most -- the biggest degree of normalization because it looks like it's going to earn $1 billion this year?
Juan Luciano: Yes. I would say, maybe when I was answering Ken I think when we look at the three businesses, Nutrition provides a lot of the growth in that scenario of course. You have to remember, when we started reporting Nutrition yearly they were reporting about $300-and-something million. This quarter they crossed the barrier of $200 million. So now -- so it's significant. And you will see that in crescendo of course over the next few years as we reach $1 billion and beyond. Carb Solutions as you said is -- it basically declines over the period. And then we have a healthy, but not exuberant growth rate for Ag Services and Oilseeds. So all in all, when you look at our numbers it doesn't look a far-fetched scenario. On the contrary it's a scenario that we're very confident that's why we are making it public today. And a lot of things under our control to be honest. 
Robert Moskow: And last question. You said that there's been consolidation in the soy crush industry and that is part of the reason for your confidence. But you are opening up a new crush plant now. Can you give a little more color about how much consolidation there's been? What do you think crush capacity looks like today compared to a few years ago? And where do you think it's going in the next few years from an industry perspective?
Juan Luciano: Yeah. Listen I think that there has been consolidation in the small regional players, which has been important. We have the example of Algar in Brazil. We also did the soybean joint venture with Cargill in Egypt. So -- and there have been others around the industry. I think it's important to notice that we've been working in this expansion, the Spiritwood for the last two years. We just announced it now. But this is capacity that, of course, this one is helped by RGD. But when you think about soybean meal in North America, we need about two to three -- to offset -- 2% to 3% growth in demand every year. So we need a full-time full-fledged plant every couple of years just to keep up with demand and to be able to supply the growth. So we don't think that any of these build is excessive. On the contrary, we think that it's needed to allow demand to be fulfilled.
Robert Moskow: Okay. Thank you.
Operator: In the interest of time, please limit yourself to one question. Again, please limit yourself to one question Your next question is from Ben Theurer of Barclays.
Ben Theurer: Great. Good morning, Juan, Ray, now we try it again. Thank you very much, and congrats on the results.
Juan Luciano: Good morning Ben.
Ray Young: Morning Ben.
Ben Theurer: Just one question. If you could elaborate a little bit on those $90 million on positioning gains across ethanol and what's been driving that throughout the quarter. And is that something you think is something recurring, is this a one-off? How should we think about it because it was obviously sizable within the segment? Thank you.
Ray Young: Yeah, Ben. I mean our team’s do an excellent job managing risk, right? And when you just talk about managing risk is both managing the risks of the inputs and the outputs. And so the positioning gains that we had in the quarter, in the second quarter, the $90 million it's a combination of what I call the ethanol complex, right? So it's a combination of how they're managing the corn, how they're managing ethanol, how they're managing RINs, all these positions. And as you know it was a very volatile quarter when you looked at the prices of corn and ethanol and RINs but they managed exceptionally well. And so $90 million normally they would generate risk management gains. We highlighted it this quarter because this was an exceptional quarter. And by the way it wasn't just an exceptional quarter. It was an exceptional first half of the year, because when you take a look at the first half of the year, they probably had positioning gains roughly with a similar amount in the first quarter as well. So, therefore, the Carb Solutions team really hit all of the ballpark in terms of risk management in the first half of this year.
Ben Theurer: So for the future we should expect some of it, but maybe not at the same magnitude. That's a fair assumption? 
Ray Young: Yeah. I mean, again I mean I would never ask the Carb Solutions team to hold back. But again they will always manage their positions exceedingly well. And I would say this was probably an exceptional performance for the first half of the year.
Ben Theurer: Okay, perfect. I’ll leave it here. Thank you very much for squeezing me in again.
Ray Young: Thank you Ben.
Operator: Your next question is from Vincent Andrews of Morgan Stanley.
Steve Haynes: Hi. This is Steve Haynes on for Vincent. Maybe I could just squeeze a quick one in on the biosolutions business portfolio. You talked about some of the other growth things. And you've announced -- you've made some announcements already in terms of some partnerships and agreements. But can you I guess maybe just help us think about going forward where your any specific target growth areas would be within that business?
Juan Luciano: Yeah. Listen that is a business that to a certain degree started from a customer pool. We discovered one day that a lot of the products that we were selling in Carb Solutions were finding their way into non-food applications, non-beverage application. So now we have started with a new team on a more proactive approach to that. So we have a market based approach where we're targeting things like construction and pharmaceuticals and cosmetics and other products. And we've been very successful. This team has been growing – they have been growing sales about 10 – at the 10% click. These are very profitable opportunities and opportunities that at this point in time require no capital, because these are existing products going into new applications. So we have hired experts, marketing experts, and technical experts to be able to sell these into new applications. And we fill in an incredible customer pool. Every CEO or company out there that is announcing this de-carbonization goal's for 2040 or whatever needs to shift to plant-based materials from oil based in order to de-carbonize. And we are the largest company in that space with the ability to provide the broadest footprint of products. So you will continue to see growth there, and we are just getting started. That will be my comment. We cannot talk a lot about – as you can understand about our customer engagement, because these are confidential agreements that we have and a lot of these the customers don't want to disclose what they are doing.
Steve Haynes: All right. Thank you.
Juan Luciano: You’re welcome.
Operator: Your next question is from Ben Kallo of Baird.
Ben Kallo: Hi. Thank you very much for taking my question. The first one is just on South America gross margin. Could you just talk about, if there's a structural change or is it just a temporary change as it relates to biodiesel headwinds? And then the second question is on M&A. I know you just did a deal so congratulations on that. But on larger acquisition front from your experience one as – are there targets out there? And then two, is it easier for the heavy lifting of integration to do a large acquisition than the smaller tuck-in ones like you announced yesterday? Thank you.
Juan Luciano: Yeah. Thank you, Ben. So let me address South America first. So, of course, our bigger participation is Brazil. It has been a tough year for Brazil this first half of the year in general. We expect second half of the year to have the possibility to be a little better. Biodiesel is B12 now and that has been confirmed. We'll have to see the first auctions there. So crush margins are better. Domestic margins are $25 to $30 per ton export is about $10. Bottle oil and volumes and prices are better in the last two months. We started the year tough there. Remember that, this is a society that is going through the tougher parts of COVID. So demand is difficult there. But we have seen an improvement. Domestic meal the market is also paying for the higher soybeans. So that's good. We have – Brazil has reduced exports of corn of course, because of the drought. But the domestic market is paying the premium. So Brazil is not going to run out of corn, and it's importing a little bit from Brazil. So I would say in general with oil – domestic oil being supported and the volumes being there and with biodiesel going back to B12, we expect the second half of the year to be a little bit better than maybe what the first half was.
Ben Kallo: And then the second question on M&A, just on targets and appetite for a larger deal and then the integration of smaller deals versus many smaller deals versus the large ones?
Juan Luciano: Yeah. You know that, we've been relatively quiet. We continue to be very selective about this because valuations are in general for some properties are a little bit too high. So it – this needs to be a perfect fit into our portfolio. And the perfect combination of things with Sojaprotein is in terms of the footprint, the complementarily of the geographic nature of it and the quality of management, and the assets and the products. In terms of what is easier to integrate, I think that sometimes bolt-ons are a little bit easier. We find they fit better in a business that is already structured. When you bring a large company you need more adjustments on both sides if you will, if you think about some of these companies that have continued to operate in ADM almost like with the same agility they were operating before, whether you say Protexin or Biopolis and some of these companies. So I think that the smaller companies are probably an easy tuck-in than maybe large companies. Large companies take us a little bit longer. 
Ben Kallo: Okay. Great. Thank you very much.
Juan Luciano : You’re welcome.
Operator: Your next question is from Ben Bienvenu of Stephens.
Ben Bienvenu: Hi. Thanks. Good morning everyone. I appreciate you squeezing me in.
Juan Luciano : Hi, Ben.
Ben Bienvenu: One quick one from me. You talked about the operational flexibility to shift and flex between softseed crushing and oilseed crushing. When you think about the backdrop for oilseed crushing margins across all your geographies, but in North America in particular where things are quite strong, those strong driven by soybean oil this go around, do you think the market is able to digest appropriately switching from a higher oil yield to a higher meal yield given the kind of relative softness in the meal market? And just how do you think about toggling between those two crush capacities in a market like this?
Juan Luciano: Listen at this point in time, we are seeing good demand for both products. So, of course, as you know, there is a big pull from oil. There has been a big pull for oil. And then RGD is increasing a little bit of that, but our ability to place the mill given our footprint and our commercial operations is very strong. So that gives us a lot of confidence for North America for the second half. Listen let me be clear. The Oilseeds and Ag Services business will have a very strong year much better than last year and we expect a strong second half as well that will drive the company to earnings that we never had before certainly. And certainly, we'll be probably on the higher side or maybe outside the range of 4 to 4.50 that I mentioned before that was the previous landing spot of our strategy. That's what we're seeing at the moment. So the year started strong and we think that the second half will be very strong. Okay. Very good. Thank you Juan and best of luck in the back half.
Operator: Your final question is from Eric Larson of Seaport Research Partners.
Eric Larson: Yes. Good morning everyone. I hope everybody is doing well.
Juan Luciano: Good morning, Eric.
Ray Young: Thank you, Eric.
Eric Larson: So, on the -- I know we're short on time, I'll make this question pretty quick and pretty direct. It's really going back I think a little to maybe Adam's first question, maybe drilling down on some demand functions here in the near term. Obviously, you've addressed the global biodiesel markets, what's going on there the US ethanol all the job owning of RFS and all that stuff. But people are talking about some chinks in the armor in some of the Chinese demand at least in the near term. They've walked away from a little bit of corn imports in July, which has bought a thimbleful, and I think it spooked the market. But I think the real issue here is ASF in China -- have they had a major setback in that? And we just don't know what to kind of believe what's coming out of there. And now you've had the floods in China that's impacted about 10% of their growing area has killed a lot of hogs. Is that -- is some of the near-term demand function a piece of the Chinese AFS problems that they're having? 
Juan Luciano: I think that, of course, as you described, there are many issues going on and there is a little bit of a transition here. But the reality is that pork prices have come down, that will incentivate demand. But you also need to understand that, in the -- during the ASF, people get to eat more poultry as well. And we have seen that demand growth. We think that when we have a better supply and cheaper supply of soybeans, things will come back a little bit more to normal. When we check with our customers over there, fundamentally, nothing has changed. And if you look at the -- as I said the middle class in China and you look at the indicators of that, which is the consumption of the big four protein, they are all higher than prepandemic levels. So the consumer is there, the animals are there to be fed. And I think that the rest is just a matter of tactical approaches, whether we had the big run-up in hog prices in China, then the government intervened to try to control that. Now they are lower. They said more wheat. I think that's going to shift to include more soybean in the portfolio -- in the inclusion. So, we think that at the end of the day, there may be many monthly gyrations, but over time, protein consumption continues to go up and they will import more soybeans to actually satisfy that demand. So, we feel very confident about the future of the demand in China.
Vikram Luthar: Thanks. We do seriously have reached the queues. We have small issues throughout the areas and they have to supplement it with meals at some point. So, thank you, everybody for sharing.
Operator: There are no other questions in queue. I'd like to turn the call back to Mr. Luthar for any closing remarks.
End of Q&A:
Vikram Luthar: Thank you. Slide 14 notes upcoming investor events in which we will be participating. As Juan has already mentioned in the Q&A, we'd also like to announce that we will be hosting a Global Investor Day in the fourth quarter of this year, during which we will be talking more about the next phase of our growth. More particulars, including the specific date and format will be forthcoming. As always please feel free to follow up with me if you have any other questions. Have a good day and thanks for your time and interest in ADM.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.